Operator: Good day, everyone and welcome to this VeriSign, Inc. conference call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Tom McCallum, Director of Investor Relations. Please go ahead, sir.
Tom McCallum, Director of Investor Relations: Thank you, operator. Good afternoon, everyone. Thank you for joining VeriSign's fourth quarter and full year 2005 results call. I'm here today with Stratton Sclavos, Chairman and CEO of VeriSign, Dana Evan, our CFO, and Steven Gatloff, our VP of Finance and Treasurer. In a moment, Stratton will review Q4 2005 results. And will provide some insights into the performance of our businesses. Dana will then follow with a detailed review of our Q4 and 2005 financial results. She will then provide a forward-looking financial guidance. We will then open up the call for your questions. We anticipate the call will end at approximately 3 p.m. We'd like to remind everyone that other than the historical financial data today's discussion may include forward-looking statements in the subject of risks and uncertainties described in our annual report and other reports with the SEC. Our financial results released today on the news wires after the market closed. The press release, the related financial information discussed on the call and a reconciliation of GAAP to nonGAAP financial information can all be found at our website at www.verisign.com, under the Investor Relations tab. This call is being webcast live, both on our website and at StreetEvents.com. Before I turn the call over to Stratton I'd like to remind everyone we set the date for our 2006 Analyst Day. This year's Analyst Day will be held at our Mountain View headquarters on May 25. With that, I'd like to turn it over to Stratton.
Stratton Sclavos, Chief Executive Officer: Thanks, Tom, and good afternoon, everyone. Let me add my welcome to all of you attending today's call. As our results indicate Q4 2005 kept a solid finish to a strong year for Verisign with year-over-year growth in revenue coming in at 42%, while operating income grew over 50%. From a strategic perspective, we also saw many of our businesses hit new milestones in terms of installed base, customer penetration, and international contribution. Collectively, these strong financial and business results allowed us to make significant investments in new technologies and infrastructure that will fuel incremental opportunities for us in 2006 and beyond. While the mobile content business posed several challenges in the second half of the year, we still believe we're in the early stages of the move to mobile and broadband entertainment and that our technology assets and expanding customer base have us well positioned to ultimately succeed. All in all, we feel we focused the company on a simple mission. To enable and protect all the world's network based interaction. We believe our accomplishments in 2005 have allowed us to create the world-class portfolio of intelligent infrastructure services needed to execute on that strategy. With that, let me dive into the Q4 and year-end highlights for the business units before giving you an overview of our outlook for 2006. Let's begin with the Communications Services Group. As you know, given the focus on the mobile content business in 2005, we have been reporting the CSG group revenues in two categories. Core communications in commerce and content. The communications and commerce line of business includes the Legacy Network Connectivity, database, and pre and post paid billing services. While the content line of business includes Jamba! and Jamster, LightSurf and our SMS and MMS interoperability services. The strategy in CSG is the same as in the Internet Services Group. Take our leadership position in delivering critical services to carriers and leverage those assets and customer relationships to move into adjacent service areas that show strong growth potential and enable new revenue streams for our customers. Clearly in the communications market this strategy embodies helping our carrier and service provider customers transition from a voice dominated circuit based world to an IP based world where voice, data and content coexist and converge. For Q4 the communications and commerce line of business achieved $105 million in revenue, consistent with Q3's strong showing. In terms of business metric we delivered over 15.9 billion data base queries in Q4, up 10% sequentially and 24% year-over-year. We also processed billing and payment services for approximately 7.8 million wireless users, up 8% sequentially and 20% year-over-year. While we continue to see some pressure on the course signaling and database businesses due to consolidation and customer renewals, we are finding significant interest in our new billing, messaging, and IP connect offering In fact, our two largest billing customers have already committed to our next generation platform, and both are planning new market roll-outs in the first half of this year. Additionally, we are seeing strong demand for our messaging services from both traditional carriers and Internet service providers. We've recently won several new contracts in this space, and we'll be making joint announcements with those customers before the end of the current quarter. We also have several new IP connect services in development that we belive can provide for the democratization of the IP voice world in terms of access and interoperability. We are expecting to introduce these services in the second half of 2006. Expanding our communications and commerce footprint internationally has also been a key objective over the last 12 months. I'm pleased to say that we had significant competitive wins for our clearing and messaging services in both Asia and Latin America during Q4, and would expect to see significant growth in both regions over the course of 2006. Now let's move to the content line of business. Overall we achieved revenues of 114 million during the quarter, down 13% sequentially, but up nearly 21% year-over-year. LightSurf and our SMS, MMS interoperability services accounted for approximately 13 million during the quarter, Jamba! and Jamster accounted for the remaining 101 million in the content group. Slightly better than the earlier guidance due to a one-time revenue item that Dana will discuss. . On the LightSurf and MMS front we saw good growth in the picture messaging business during the quarter and delivered a new client platform to our key customer. We are also well into the development of our next generation messaging platform which will combine all of our messaging capabilities into a common unified offering for carries and internet portals. We expect to launch the new services in the second half of 2006, and have already begun prebriefing with our key customer and prospects. All in all, we believe the assets that we have in the LightSurf platform and our strong and growing carrier relationships have established VeriSign as the clear leader in the multi media messaging space. Now let's move onto Jamba! and Jamster. While the Jamba! and Jamster revenues were roughly on target for Q4, we are still seeing erosion in the base in several key markets. Several factors are influencing the current market demand including continued changes in marketing restrictions in certain countries, as well as our own brand relaunch, which is attempting to simplify our offering. As we said last quarter, we expect the base to stabilize in the first half of the year as we refine our marketing programs, add additional carriers and country, and create a more compelling long-term value proposition for our customers. That being said, we would still expect to see a decline in the B2C content revenues sequentially as we see the effects of the eroding base and the reduction in marketing expenditures. While short-term trends will continue to be hard to forecast we still fully believe in the long-term opportunity in mobile content and in our ability to capitalize on our position as the leading global platform for these services. As we mentioned last quarter, we have several initiatives underway to diversify the revenue contribution in the content business by expanding our B2B offering. Our target customers include traditional wireless carriers, as well as broad based media companies and internet portals. In late breaking news I'm pleased to announce that in the last 30 days we assigned two new B2B contracts to provide a full range of mobile content services. One with a global media company and the other with a leading Internet services company. We would expect both customers to launch these branded services before the end of this quarter. So in summing up the Communications Services Group, I think it's fair to say that the remaining challenges in the B2C content business will have an impact in our ability to get out of the gate quickly in 2006. That being said, we are very optimistic about the growth opportunities that exist across the portfolio, including messaging, international clearing, billing and B2B services. Now let's move on to the Internet Services Group. The ISG group contains our newly remained information services business unit and our security services business unit. Our information services unit is the new name for what was our naming and directory services business. We believe the new name more accurately characterizes the expanded focus of the business, which is to provide relevant, realtime information that enables intelligent network interactions. In 2005 the acquisitions of Arcor Global Systems and Retail Solutions International allowed us to broaden the business into intelligent supply chain services. While the acquisitions of Moreover and Weblog launched VeriSign into realtime publishing services. Of course, while these new businesses have exciting potential, the main driver in VIS continues to be the naming business for dot com and dot net. 2005 was a record year in naming in almost every way imaginable. Increased overall demand, deeper international penetration, and new product traction combined to drive new units and renewal volumes throughout the year, leading to a very strong Q4 and great momentum heading into 2006. During Q4 alone, we processed approximately 5.3 million new registrations for dot com and dot net domain names. We also saw another 6.4 million names renewed or extended adding up to 11.7 domain name transactions in the quarter. VeriSign's adjusted base of that at the end of the period stood at an all-time high of 50 million up 7% sequentially and 30% year-over-year. Our intelligent supply chain services also began to demonstrate important traction as our existing electronic product codes directory services, coupled with our new consulting services from R4 and our point of sale data from RSI have allowed us to build out a set of end-to-end solutions targeted packaged goods and pharmaceutical application. As a case in point, we received contracts in Q4 to deliver ePedigree services for two of the largest pharmaceutical distributors in North America. We expect to begin delivering these services in Q2 and are seeing a growing pipeline for our other supply chain offerings. We expect to see strong growth in this area over the next 12 to 24 months. In the second half of 2005, the VIS group also began to execute its realtime web strategy that we laid out at our Analyst Day in May. Our internal development of a global PING server infrastructure coupled with the acquisitions of Weblogs and Moreover, have positioned VeriSign as the leader in realtime information services for publishers, bloggers, websites and enterprises. We believe we are now touching 75% of all global PING traffic serving over 3 million feeds per day. This traffic volume is up 100% in the last 90 days alone. We are also serving over 100 million aggregate news articles on a daily basis. By the end of this quarter we expect to be harvesting news from over 20,000 sources and providing access to over 4 million blogs in our access fees. As the realtime web continues to flourish, we will look to become the authoritative source of intelligence for enterprises, web portals, and media companies. Moving to our security services unit, we were pleased to see the momentum we had experienced throughout 2005 continue in Q4. Culminating in a record bookings quarter in the security business. We sold over 139,000 at the certificates during the quarter, up 14% sequentially and 20% year-over-year. This brings our active installed base to a record 489,000. Demand here is being driven by an increasing number of transactions at existing websites, coupled with continued international expansion. On the enterprise side of security we talked significant customer wins in the quarter including Scottish Power, Citigroup, G-Mack, Hyatt International, American Express, Honeywell and. As you will recall, one of our key objectives for 2005 was to both deepen and broaden the penetration of our services into major accounts. The security services group executed on this strategy extremely well, as Up-sell Cross-sell rate into our top 25 enterprise accounts reached new levels in Q4. We believe we have become the provider of choice and a strategic partner in these accounts for critical security services. We expect this trend to continue as malicious continue to rise in both complexity and frequency, and as new compliance and reporting mandates take hold. Demand for our Managed Security and Consulting services, as an example, remains strong and we continue to believe we are winning the majority of large account deals in the state. In fact, Gardner recently released its quarterly update on managed security service providers and VeriSign was once again placed in the leaders quadrant in this highly influential report. Strong operational execution, and expanding portfolio of services and value-added intelligence from our global infrastructure helped the MMS business grow over 50% last year. We're also seeing an increasing amount of interest in our unified authentication platform and tokens. Of course, the big news in the second half of the year was our alliance with eBay and PayPal to deploy strong authentication technology to their active user bases. With a firm commitment to deploy a million tokens and a comprehensive game plan to provide incentives for adoption and use, we believe PayPal and eBay represent the ultimate anchor tenants for our unified authentication platform and for a push into second factor authentication for consumers. As we come into 2006, we are looking to accelerate these plans. You should expect the significant announcement regarding our next move in consumer authentication before the end of this quarter as we also begin planning for PayPal and eBay's first deployments in Q2. As we look into 2006, we are very bullish on the Internet Services Group as a whole. We believe our information services and securities services businesses are excellent proof points of the VeriSign intelligent infrastructure strategy. In essence, we have used our unique technology and global infrastructure to build a leadership position in a critical service area where we act as the trusted and authoritative source for enabling and protecting network-based interactions. Our DNS and SSL offerings are perfect examples. Once established, we then move into adjacent markets leveraging our technology, infrastructure, customer relationships and premium brand. In the information services area, we're moving aggressively to build our intelligent publisher and supply chain offerings. While in the security area we have taken the SSL franchise and expanded our offerings into network and end-user security. Strong execution on this strategy in 2005 gives us confidence that the ISG group will grow by 20% or more again in 2006. Let me now say a few words about Q1 and our outlook for 2006 as a whole. Overall, we believed the end market demand for our intelligent infrastructure services is continuing to accelerate as the world continues its migration from physical to digital interactions. With these trends in mind, we are expecting a strong showing in the Internet Services Group in 2006, as our services continue to enable and benefit from the global growth in network based communications and commerce. Meanwhile, our strategy in the communications business is to continue to gain market share with our core offerings as we attempt to ramp new services such as interactive messaging, voice over IP interconnect and B2B content for both mobile and broadband. We also believe there is still a significant opportunity to increase our global share across all of our businesses. As it relates to Jamba! and Jamster, there will be a tough year-over-year comparisons in Q1 and Q2. We'll continue to manage our marketing expenditures carefully as we look to reposition the offering and support the B2B rollouts during the course of the year. Putting this all together, and remembering that we're heading into a year without the payment business, means that Q1 will be sequentially down from Q4. We do expect, however, to be able to grow revenues and earnings sequentially throughout the remainder of 2006, as ISG grows at a 20% clip, and CSGC's new product revenue streams kick in. With that, I want to thank you for your attention. And now I'll turn the call over to Dana.
Dana Evan, Chief Financial Officer: Thanks, Stratton. And thank you, everyone, for joining us this afternoon. As you can see, our results for the fourth quarter cap off what was a strong year for VeriSign. We delivered annual revenue of $1.66 billion, up approximately 40% year-over-year, operating income of $362 million, up 52% over for 2004 levels. And we drove annual earnings growth of more than 53%. In addition to generating solid financial results, we also strengthened our balance sheet throughout the year with record annual operating cash flow of $480 million, and free cash flow of nearly $340 million for 2005. This strong cash generation afforded us the ability to aggressively repurchase nearly 23 million shares of our common stock throughout the year. While still making significant investments in operations and focused acquisitions to support future growth areas such as supply chain, realtime publishing, multimedia messaging, and enhanced security services. We also saw strong balanced performance across our core businesses. Not only in the fourth quarter but throughout 2005. As Stratton just mentioned, however, we certainly saw some challenges in the second half of the year in our mobile content business, where we continue to focus on stabilization and discipline spending. Before we begin with the Q4 results, let me spend a few minutes on the sale of our Payment Gateway business to eBay, which closed mid way through the fourth quarter. The partial quarter sub period for that business generated approximately 8 million of revenues, and 4 million of operating income, which is included in our nonGAAP results for the quarter. On a GAAP basis this transaction has been treated as a discontinued operation, and has been reflected as such in the financial statements released this afternoon. In addition to the income statement impact of the sale, we also saw a 12 million of deferred revenue come off our balance sheet with the closing of the transaction. Lastly, for those of you who have not taken the Payment Gateway business out of your models for 2006, it would have been forecasted at approximately 75 million of revenue, and 50% operating margins for the current year. So with that, let's turn to the detailed financial results for the quarter starting with the top line. On a consolidated basis, VeriSign reported fourth quarter revenue of $401 million, representing a 13% increase year-over-year, and a 3% decrease over Q3. Looking at the detailed revenue by reporting unit, the Internet Services Group delivered approximately $182 million of revenue for the quarter, up 19% over Q4 of the previous year, and up from 177 million in Q3. For the year, ISG revenue came in at $686 million, up 22% over 2004. The year-over-year revenue growth was driven by consistent strong performance of SSL in managed security services, both in the U.S., as well as an Amia and Asia pack and solid growth in the global sale of domain names. Our Communications Services Group reported $219 million of revenue for Q4. Up from 204 million in the same quarter last year, but down from the 238 million we reported in Q3. For the year, revenue in CSG came in at 976 million, up 62% over 2004. This was driven primarily by growth in our core signaling and connectivity and multi-media picture messaging services throughout the year. While in our Jamba! Jamster business we saw solid revenues in the first half of the year, which weakened significantly during the second half. Within this reporting group, Q4 revenues from the core Communications and Commerce line of business were relatively flat, and in line with our guidance. While the mobile content line of business delivered $114 million of revenue. Note that this includes $101 million from the Jamba! Jamster services ahead of our guidance of 90 to 95 million, due to 5 million of one-time revenue events in the quarter. Moving to our international operation, the percentage of revenue driven from international customers, affiliates, and subsidiaries was approximately 32% for Q4, relatively flat from Q3. For 2005 international revenue represented 36% of annual revenues, as compared to 28% in 2004. While the content business is obviously a big contributor to this number on an absolute dollar basis, in our Internet Services Group, international revenues were approximately 38% of total revenues for the year as well. Looking at cost of revenues and gross margin, our cost of revenue for the fourth quarter was relatively flat from Q3 at 129 million. This translates into a 67.7% growth margin for the fourth quarter, down from 68.9% reported in Q3 but better than previously guided to due to the higher than projected mobile content revenue. Total operating expenses for Q4 were $181 million, down from $189 million in Q3. The majority of that occurred in the marketing area, and is attributable to controlled marketing spend in our mobile content business. Offsetting the decrease in marketing spend our additional G&A expenses incurred in this quarter, primarily for increased Sarbanes-Oxley and audit-related activity. With that said, pro forma operating income came in at $91 million. This translates into a 22.6% operating margin, a slight decline over Q3 after factoring in the lost operating income from the sale of the Payment Gateway business. As it relates to employee head count, we ended the year with a total employee base of a little more than 4,000 people, up from 3200 at the end of 2004. VeriSign reported nonGAAP pretax income for the fourth quarter of $94 million, down from $102 million in Q3. Year-over-year nonGAAP pretax income grew a healthy 57%. NonGAAP earnings per share for Q4 was $0.26, which is at the high end of the 25 to $0.26 range we gave in November, after the close of the Payments transaction. This earnings per share calculation uses a diluted weighted average shares outstanding number of approximately 257 million shares for Q4, consistent with our guidance. Moving on to the balance sheet and cash flow items, cash balances increased by $107 million in Q4, translating into cash equivalents in short-term investments totaling $906 million at year end. This sequential increase in cash was the result of strong operating cash flow in the quarter, and 370 million in cash proceeds from the sale of our Payments Gateway business. We used $290 million of cash during Q4 to repurchase approximately 13 million shares of VeriSign common stock. And over the course of 2005, we repurchased a total of approximately 23 million shares of VeriSign stock for $550 million, or nearly 9% of total shares outstanding. We're pleased that cash balances for the year increased over $100 million, even after these significant stock repurchases, 140 million of capital expenditures and 176 million spent on strategic acquisitions. As it relates to accounts receivable, net DSO for the fourth quarter came in at 51 days, which is consistent with the previous quarter. Net of the much higher DSOs we see in the content business, DSOs from our core businesses remain below 40 days. Total deferred revenue on the balance sheet was $496 million at the end of Q4, as compared to $481 million in the previous quarter, after factoring in discontinued operations. This balance reflects the reduction of deferred revenue from the sale of the payments business, which was more than offset by continued bookings growth from the domain name registry and businesses. On a year-over-year basis, deferred revenue grew 23%. Operating cash flow for Q4 was in excess of $140 million, fueled by solid operating income and favorable working capital for the quarter, bringing us to our record total cash flow for 2005 of approximately $480 million. Capital expenditures for the fourth quarter were $67 million. For the year, capital expenditures came in just over $140 million, 25 million above our original forecast for the year, due to three main factors. One, approximately 12 million spent throughout the year on capital for the newly acquired companies Two, additional investments in our next generation BCS billing and payment platform. And three, the initiation of the build out of the new data center on the East Coast. The annual capital expenditure distribution was relatively consistent with 2004, and breaks down as follows. Communications Services Group, 47%, corporate and infrastructure services, 34%, and Internet Services Group, 19%. And that completes the financial review. So let me now turn to some guidance for Q1 and our outlook for 2006. As it relates to Q1, we would look for revenues to be in a range of 370 to $375 million. This revenue guidance reflects the expectation that the Internet Services Group will represent approximately 49% of revenue, and Communications Services Group approximately 51%. Additionally, this guidance anticipates consistent growth in ISG, and in CSG a flat quarter in core communications, Jamba! Jamster revenue in the mid-$70 million range, and continued double-digit growth in our SMS and MMS services. As it relates to margins for Q1, we would expect gross margins to decline and be in the 65 to 66% range, due to the anticipated decline in Jamba! and Jamster revenue and the sale of the very high margin payment system. In terms of operating expenses, we will continue to execute on our plan for investing in the next generation services, while remaining focused on expense management in all areas. This would suggest a modest increase in Q1 for R&D expenses, and for operations and infrastructure costs included in G&A. Given the revenue decline and modestly increasing investments, we would expect operating margins to be in the 20% range. As it relates to share count, we would forecast a diluted share count of approximately 250 million shares for Q1. So taking into account the anticipated Q1 revenue, our planned increase in spending and the margin guidance I just gave as well as the loss of two pennies of EPS from the sale of the payments business, we are guiding to earnings per share for Q1 of $0.21 to $0.22 on a fully tax basis, using a 30% effective tax rate. Looking at operating cash flow, we would expect to generate cash flow in Q1 of approximately $50 million. While this forecast is obviously well below the Q4 cash flow we just delivered, Q1 historically is a light cash flow quarter for us. This is the result of cash to be paid out for annual bonuses, and the significant capital assets purchased late in Q4, both of which are accrued in accounts payable at year end. Our outlook for capital spending for the year anticipates total capital expenditures of approximately $140 million. We would expect approximately 50% of that annual budget to be spent in the first half of the year. And lastly, as we look out to the rest of the year, given the continuing difficulty in forecasting the trends in the mobile content business, we will not be providing full-year guidance at this time. With that said we would like to reiterate the growth expectations for our core businesses. Specifically, in the Internet Services Group we continue to look for both the security and information services businesses to grow revenue at least 20% year-over-year. And in the Communications Services Group, we would anticipate the core VCS business to grow in the mid-single digits. The emerging SMS and MMS business are also expected to deliver solid growth for the year. Operating margins from these core businesses are expected to increase throughout the year as well, and that should drive EPS improvement each quarter. As we begin the new year, we expect to continue to face an uncertain landscape in the Jamba! Jamster business, but nonetheless, we are well positioned through continued momentum in our core businesses in 2006. We're also excited about our opportunities in the new growth areas and are looking for our strong balance sheet to continue to fuel further expansion and growth. So with that, I'd like to open the call for your questions. Operator, may we have the first question, please?
Questions & Answers:
Operator:
Operator Instructions:
Q - Todd Raker: Hey, guys. Two questions for you. First on Jamba!. Can you give us an indication in terms of the branded business versus the B2B business. What was B2B as a percentage of revenue this quarter?
A - Stratton Sclavos: That breakout in Q3, Todd, was about, only about 5% B2B. We haven't turned on these two new customers that I just mentioned, so it was probably roughly the same in Q4.
Q - Todd Raker: Okay. And if you just look at the branded capabilities. You guys have slowly been managing the marketing of expense. But is this something that you managed marketing expense that never stabilizes? I mean, how do you see it beginning to grow again on the branded side?
A - Stratton Sclavos: Well, I think there's just a lot of things in flux there. Obviously, we're just 60 days into the relaunch on the brand. And it's only in the, the hardest country, the UK and then the U.S. So we'll be continuing to roll out new branding programs and new packaging in the over the course of the next 60 to 90 days, including in Germany, we're continuing to try different types of marketing spend. And different ways in which we promote the value proposition of the offering. So there's just a lot more work to be done. I think it's too early to tell. Meanwhile, what you're seeing us do is really devote a lot more resource in the selling proposition and the support proposition around the B2B side to help bring that revenue number up as we get further into the year.
Q - Todd Raker: If you look at your three largest markets, UK, Germany, and the U.S. would you expect all three to be down sequentially from Q4 to in to Q1?
A - Stratton Sclavos: I would expect the UK and the U.S. could be down a little bit sequentially, I'm not clear on Germany yet.
Q - Todd Raker: Okay. And then just one quick question on the ISG side. Very aggressive or nice guidance, at 20% plus. What are your expectations on the domain name side. How sustainable is the growth on domain names?
A - Stratton Sclavos: Well, in 2004 the domain base grew 26%, which we thought was a pretty healthy clip. It grew 30% in 2005. And we would have expected some level of leveling off there. As it's turned out, so far in January it's actually accelerated a little bit again. So it's just hard to know. We are continuing to see good fundamental growth driven by all those factors, including the PPC market and the PPC markets not increasing dramatically as a percentage of the name. So the raw pure demand is still there. So it's looking pretty good and renewal rates continue to be in the 73, 74% range. So obviously it's, it's been strong and it seems to be getting a little bit stronger.
Q - Todd Raker: Okay. Thanks, guys.
Operator: Our next question comes from Rob Owens with Pacific Crest Securities.
Q - Rob Owens: Yes, good afternoon, guys. Maybe you can give us an update on some of the domestic tier 1 carriers that you're been targeting are either in soft launch or supposedly right around the corner. And in light of your guidance of the U.S. being down sequentially.
A - Stratton Sclavos: Sprint is on.
Q - Rob Owens: Right.
A - Stratton Sclavos: And we continue to leverage that platform. Not at full volume yet. But at a good reasonable clip. No new news on Verizon. We continue to be waiting for their go ahead to bring more off portal providers on board. And we would expect to still be in the first rush of those as they do it.
Q - Rob Owens: So when you're thinking down sequentially, is this a function of churn or a function of pricing?
A - Stratton Sclavos: It's a function of churn. And it's really related to the run rates as you still saw the UK diminish in Q4. Obviously, as you come into January you have the smaller base that you're starting to count from. So it's really mostly related to churn, not in pricing.
Q - Rob Owens: Okay. And then some of the new businesses I think you've been trialing over in Europe, like prepaid phone cards, full music downloads and then I've seen also eBay auctions. Any update there on any early traction you're getting or what the opportunity is?
A - Stratton Sclavos: Probably too early to make any overall statements on it. We do have a lot of things that we're working on. Some are showing really interesting dynamics. Others are, we're kind of quickly eliminating. So I think the team last count I saw had something on the order of two dozen or so different initiatives that they are working in the German market in particular, and starting to do in the UK as well. All of which we are measuring on a daily basis and obviously those that work we'll pour more resource into and those don't we'll kind of shuffle, or shut down quickly.
Q - Rob Owens: Great. And last question. Any chance you'll give us the geographic splits of the Jamba! business this quarter?
A - Stratton Sclavos: I would doubt it. I think what we're looking to do really is obviously get the B2B side ramped. You'll see those announcements later this quarter. You'll begin to see us focus kind of marketing efforts really in the main countries here and so we've done a little bit less new country ramp-up here in the last 60 days. And we'll probably do, hold that as well here in Q1. Just really want to get that base stabilized. And as we get to stabilization, I think we'll be more broad based in our discussion of the dynamics.
Q - Rob Owens: Great, thanks, Stratton.
Operator: And moving on we'll take Phil Winslow with Credit Suisse.
Q - Phil Winslow: On the communications side. Starting first with the Jamba!. Dana, I'm assuming that $5 million one-time event was related to Sprint turning on?
A - Dana Evan: No, actually, it wasn't. It was a, we had had a rev-share dispute with one of the carriers that we had settled up on in the quarter.
Q - Phil Winslow: Okay. And then as far as when you do, I know you're not giving full-year guidance but when you start to think about seasonality in this business, typically there's been a lag effect to handset shipments. You're at Q1 you're guiding down. When you start to look at the summer months how should we start to think about just those generally speaking?
A - Stratton Sclavos: Well, I think last year was probably a unique year. In that you had a lot of the one-hit wonder with the Crazy Frog coming in Q1 and Q2. And then you saw, I think a real backlash because of the marketing restrictions in Europe. So it's really unclear to us what the steady state dynamics are going to look like, right? Generally, we would expect Q1 and Q2 to be stronger, Q3 and Q4 to be weaker. Given what happens with handset sales and what happens with summertime in various regions that we're in. But, again, I just don't think we've had a normalized year yet.
Q - Phil Winslow: And then also, just looking at, can you contrast, I guess, just the business models there as far as your percentage share of the dollar business and how the gross in operating margins sort of differ between those two.
A - Stratton Sclavos: The B2B deals as you'd expect with organizations of the five that we're doing them with tend to be custom right whether we're doing website hosting, linking to other properties, different number of languages, and the rest so, I don't know that there is a common framework yet for B2B deal. In general, though, we will take much less of the revenue share, however, we will have zero of the marketing cost. So on the margin structure, I would think long-term they'll end up being about the same. It's just how, where in the gross margin line you see it.
Q - Phil Winslow: And then finally, just last on the B2B side. When you look at your global footprint, who else do you see out there as a competitor, not just from a U.S. offering, but actually does have that global support.
A - Stratton Sclavos: Well, I think it would be fair so say that one of the reasons that we won these last two accounts was because of our global reach. The fact that we could turn on in multiple country, in multiple language with multiple currencies and with dozens of carriers so I think it is showing that at least for the large brands that want to have that kind of a presence, there really isn't a strong competitor who can match us. In local markets if you're a local carrier or a local portal in a market and you're really only concerned with your geography, then there are point providers in each of those markets. Clearly here in the U.S. you've got smaller companies like InfoSpace and Motricity. In Europe you've got companies like ZET and others, but I think from a global perspective, we're probably one of the only ones that can do that.
Q - Phil Winslow: Great. Thanks, guys.
Operator: We'll next take a question from Peter Kuper with Morgan Stanley.
Q - Peter Kuper: Great. Thanks very much. Stratton, you've mentioned the eBay deal, the PayPal-type of sale. How was the traction date on the token arrangement? I know you have a contractual minimum that will be rolling up next couple of years. Has that started yet or is that later in '06?
A - Stratton Sclavos: We've been in detailed planning with them on a roll-out as you would expect. In their market place, with the number of users they have, they're being diligent about mapping this infrastructure into their existing user name and log-in system. And then in to the various properties across PayPal and eBay. So we had always planned for Q2 roll-outs in some limited geographies and that is on track and on schedule and we have worked with them on the, both the infrastructure integration as well as the tokens that they've chosen to use for their first roll-out. So it's actually proceeding very well, very pleased with the level of dialog and engagement we've got on their side. And they will be part of the bigger announcements we'll be making here shortly.
Q - Peter Kuper: Okay. And then just on the naming directory side of the house or not, I guess as you're calling it. How is your feelings for the pricing environment heading into '06? Is there some leverage there at all in single digit-type land? Or is there pricing pressure? What's some of the general feedback on that?
A - Stratton Sclavos: Are you talking about in .com and .net?
Q- Peter Kuper: Yes.
A - Stratton Sclavos: Well, we're still in settlement discussions or we've proposed a settlement to ICan and it's board and they're still evaluating that. If that goes through as it's currently written, we would have the opportunity starting in'07 to raise prices. We've made no decisions whether we would do that or not but at least the flexibility will be there. And as well in the new .net contract we currently do have that flexibility starting, I belive in 2007 as well. So there is some opportunity for pricing flexibility in the future. Whether we'll choose to exercise that as soon as we can or not, we hven't made those decisions yet.
Q- Peter Kuper: Okay. Thanks very much.
Operator: We now go to Walter Pritchard with SG Cowen.
Q - Walter Pritchard: Hi, just a couple of questions. I guess you mentioned certs were up year-over-year about 7% in terms of account and the revenue. I guess I'd gather probably is in the 20% range growth because that group was in that range. Stratton, could you just tell us sort of what's going on there? I know you've been at the high end of the market for a while. Just trying to get sense of are you turning off the low-end stuff and ASP's going up? Or where is, where is that big discrepancy coming?
A - Stratton Sclavos: Yes. A couple of things. One, we have been the premium price brand in this space for a long time. And through the course of 2004 and 2005 had taken prices up for both new units as well as renewals and we had been upselling customers into higher strength, broader-based packages. So in essence our ASP's have been going up over the last two years and obviously on a recurring revenue customer base that over time continues to build your revenue better than your unit growth is going to show. At the same time, we've also seen a shift a little bit from our thought brand into our VeriSign brand. So you're getting the higher price items at retail as well. So all in all, we're just seeing the pricing dynamics work out in our favor over the last 24 months and that's showing up in the growth rates on the business.
Q - Walter Pritchard: Great. And is that sustainable?
A - Stratton Sclavos: We'll target that business again between 15 and 20% growth this year. And we're pretty confident we can do that.
Q - Walter Pritchard: Okay. Great. And then just on the mobile consent side. Is it your plan that Q1 would be the bottom in terms of margins on that mobile content business? And they would pick up in the second, third and first quarter or do you have to continue to invest and take those margins down to drive the B2B stuff?
A - Stratton Sclavos: I think it would be our goal that that is the way it turns out. I think we have been snake bit on that a couple times here in the last 6 to 9 months. So we're going to watch it carefully. I think because that marketing expense is variable we continue to have that leverage to be able to use over time. But we also don't want to starve the business and stunt it's recovery because we're not going in for customer acquisitions. So I think it's a balancing line we're going to walk. And our hope is that Q1 is where that turns.
Q - Walter Pritchard: Okay. Great. Thanks.
Operator: And now we'll take a question from Scott Kessler with Standard & Poor's Equity Research.
Q - Scott Kessler: Thanks a lot. Dana, you provide guidance for Q1 for $0.21 to $0.22. I was wondering if that included stock option expense?
A - Dana Evan: No, that's a pro forma EPS number. On a GAAP basis, there will be about 12 million of stock option expense in Q1.
Q - Scott Kessler: And do you expect that to be the amount roughly for say Q2 through Q4?
A - Dana Evan: It would be relatively consistent. Might tick up a bit.
Q - Scott Kessler: Okay. The second question I have is you guys announced a $500 million buyback in August. I was wondering how much capacity is left in that buyback, and what kind of activity you've gaged in Q4?
A - Dana Evan: There's about 120 million of capacity left in that plan right now. And as I said, we did buyback quite a bit of a stock within the quarter, partially part of that plan and completing our old plan that we had in place.
A - Stratton Sclavos: I think it was about 290 million.
Q - Scott Kessler: 290 million in the quarter? Okay. Thanks very much.
Operator: And now we have Ed Maguire with Merrill Lynch.
Q - Ed Maguire: Yes. Question about the signaling and data base businesses. You've commented on some pricing pressures there. Can you talk about what's at play there. Whether you have any large contract coming up for renewal and what other services there you, you have most confidence in seeing offset that?
A - Stratton Sclavos: We have generally Q4, end of Q4 and heading into Q1 is when our signaling database contracts typically come up. This year looks like we have one relatively large size tier 2 provider coming up, that'll cost us a few million. I think it is important to point out we do expect the Q1 revenue in the communications group to be flat with Q4. That'll be the first time in three years that that's actually happened. So we're not losing a significant post-pay billing customer. We're not seeing a dramatic number of renegotiations on price. So being able to come out of Q1 flat from Q4 and then grow it from there, we think is a partial victory that we'd like to see obviously continue to better growth rates heading out into the second quarter.
Q - Ed Maguire: Okay. And not to beat a dead horse, but on the geographic distribution of the Jamba! revenues, were there any regions where the deterioration or the churn was actually worse than you anticipated or better? And just your thoughts about you've expanded into several countries over the last few months. And just wondering whether you may just continue on a delivered customer acquisition course, or whether you're really looking to pull back most of that?
A - Stratton Sclavos: Yes. So, we, again obviously the most important country is Germany and I would say the decline there was less than we had planned. The UK continues to see significant drops and I think the marketing restrictions there plus the publicity in the market has just got the pendulum over to the far right there and we'll have to wait for that to come back. And we'll ease off on our marketing expenditures there for awhile. In the U.S. market, while there was a climb in Q2, I'm sorry, in Q4, most of that was self-imposed in that we went through with the carriers and have eliminated from the base it, folks who, on the prepay side or the post-paid side we did not see billable collections from. So we did one relatively large clean-up in Q4. Other than that the U.S. is declining at a relatively modest rate. And as spring kicks in fully and Verizon comes on, hopefully in the late first quarter early second quarter we'd expect to turn that around. I think we're also trying, Ed, a ton of different marketing techniques right now to make sure we're establishing the value proposition of the subscription. One of our findings in Europe has been through some focus groups that people would just as soon pay $5.99 to get the single ring tone and then cancel, and so they're not seeing the value in the option of having that $5.99 there to allow them to get multiple products, so we've got quite a bit of marketing programs underway to test various combinations in the advertising to make sure that the propositions coming through. We're hopeful that's going to extend the lifetime of these customers as well.
Q - Ed Maguire: And just a final question on some of your realtime web services. Could you provide just a little bit of color in terms of how you expect to monetize the opportunity from Moreover and Weblogs.
A - Stratton Sclavos: Sure. There's some short-term and then obviously longer-term ideas there. So in the short-term we really aren't making any financial return off of the Weblog PING infrastructure on our own. We're really providing that as a community-based service. We're now handling about 75% of the traffic. As I said, it grew 100% in the last 90 days. But on top of that, we're now building the feed management and aggregation services for Moreover. We charge enterprises and search engines and portals a monthly fee for the service there to get the data streams, if you will. And the, and then longer term we'll look to do add insertion and content metatagging to provide personalized more relevant, if you will, feed management. So all of those will enable an advertising model longer term that, as we said last quarter, we'll talk about as we're ready to turn it on.
Q - Ed Maguire: Thanks a lot.
Operator: And we now have Sarah Friar with Goldman Sachs.
Q - Sarah Friar: I just want to go back briefly to Stratton, your comments on the ability to raise prices in the registry in the domain name side. What sort of levels of price hikes could you put in right now in .net. Where you have a contract in place. What are you offering as an icon on the.com side?
A - Stratton Sclavos: Sarah, I believe the .net got finalized with a 10% per year increase capability. A sealing of 10% raises. And that is finalized and done. Again, that would allow us to start, I believe, in 2007. .com has a 7% number in there. And that's currently, as I said, being evaluated by the ICan board.
Q - Sarah Friar: Okay, great. And then on the intelligent supply chain offerings, you talked about your, you feel that that could be a good business for you in 2006. What sort of size are we talking about? Is it kind of, 10, 20 million. Is it bigger than that? Just wondering if you could help us scope that out.
A - Stratton Sclavos: Yes. Supply, intelligent supply chains is looking like it'll be over 25 million of revenue this year. So we're pleased with that ramp, that's probably coming off about a 10 million, less than 10 million this year. And then just to note on the realtime web, we expect in its first year it'll probably do somewhere north of 10 million. And obviously have very high growth rates quarter-over-quarter. That's what, as I have said earlier, the way we like to think about those businesses is that you can build them off the existing infrastructures but then begin them to see them ramp to 50 to 100% growth each year as the markets emerge.
Q - Sarah Friar: Got it. And on the supply chain side, is that some monthly consulting revenue or is there real product, are people actually using the registry or the registry piece that you things like RFID.
A - Stratton Sclavos: It will probably be about a third consulting, a third of the directory services, the traditional EPC. And then a third will be coming from new contracts that we're launching, like the ePedigree services with the two pharmaceutical distributors. As well as some of our retail point of sale services that RSI has.
Q - Sarah Friar: Got it, okay. And then just a final question. A little bit more of just a bigger picture. Because you have a lot of moving price in your business. What's the goal? Over time that you see synergies on the revenue side between ISG and CSG? Or is it more that there's synergies on the back end and leveraging the infrastructure and that's kind of why you keep the two pieces together?
A - Stratton Sclavos: I think there's really actually three components to that answer.
Q - Sarah Friar: I realize it's a long answer.
A - Stratton Sclavos: That's all right. So let's talk about the infrastructure side. There's definitely over the long-term infrastructure synergy. Several of the CSG services run inside us are broad-run facilities that operate .com and .net in the security businesses. And are on platforms that team has been building for them, including some use of the atlas technology, in fact the VoIP services use a full-blown atlas implementation.
Q - Sarah Friar: Okay.
A - Stratton Sclavos: On the distribution side obviously the sales force is, we had our, ran our first combined sales meeting a few weeks ago. And the sales forces are now working across major accounts trying to go in and provide kind of end-to-end communications and security services. And then lastly on the engineering side, for example, something like our ePedigree solution would use the supply chain EPC services around directory and RFID tracking along with digital certificate and digital signing technology from the security business to create audible transaction records as the pharmaceuticals move across the supply chain.
Q - Sarah Friar: Okay. So we are starting to see the story come together from both sides at this point.
A - Stratton Sclavos: I think we are. I think it's early in those days. I think it's most accomplished on the infrastructure side, which obviously you can't see from the outside.
Q - Sarah Friar: Sure.
A - Stratton Sclavos: It's beginning to work in product planning around next gen services like ePedigree, the VoIP offering will also have a security component and an atlas component. And then in the distributing side it's likely we would probably look to do more consolidation and combination of the sales force as we head into 2007.
Q - Sarah Friar: Great. Okay. Thanks a lot.
Operator: And we'll now take a question from Gregg Moskowitz with Susquehanna Financial.
Q - Gregg Moskowitz: Okay. Thanks very much. Hi, guys. Just a couple questions. In terms of the CSG business or the core CSG business. I guess the guidance went down maybe slightly from that mid-to-high single digit range previously. Just wondering if that's the result of any forecasting changes perhaps in the signaling and database business or just kind of more for just the CSG business on a larger or broader perspective?
A - Stratton Sclavos: Yes I would say no, no signaling going on there. We're just, mid signal digits is a reasonable number to walk into the year with.
Q - Gregg Moskowitz: Okay. Good. And then just secondly, looking at MMS and SMS revenues I think went up slightly Q4. Is it possible at this point, Stratton, I know it's early on to see any discernible acceleration as a result of the enhanced MMS interoperability?
A - Dana Evan: Gregg, that business is going to show double-digit revenue growth in the Q1 guidance. And it's actually going to grow over 100% this year, year-over-year. Now granted it was off the small base but it's seeing significant traction.
A - Stratton Sclavos: See, she wasn't going to let me answer that. She wanted to give you that. We are seeing both very good uptake in the existing accounts. And we've got a whole lot of proposals out on new stuff there. So like you would expect, several years into the MMS phenomena it's starting to get traction. I think Sprint now says that they've exchanged over 400 million pictures using our picture messaging service. And with the interoperability I think you're going to start to see that traffic patterns grow like SMS did once interoperability came in.
Q - Gregg Moskowitz: Okay, great. Thanks very much.
Operator: And we now have a question from Robert Breza with RBC Capital Markets.
Q - Robert Breza: Good afternoon, just a couple housekeeping items. Dana, when you look at the mobile business and the $5 million one-time event. Should we be using kind of 109 going forward to think about being down sequentially or should we use the 114?
A - Dana Evan: The Jamba!, that 5 million was in the Jamba! Jamster business. And we said that was 101. So your run rate net of that would be 96.
Q - Robert Breza: Okay. Great. And then on the balance sheet I think you talked in your prepared remarks, accounts payable went up. What was that due? I think it increased like 80 million?
A - Dana Evan: So we had significant year-end capital spending of over $60 million. Which is the biggest piece. And then traditional year-end spending that always drives accounts payable up as well.
A - Stratton Sclavos: Yes. One of the big pieces in there that we really haven't talked much about so I'll kind of start the discussion now is we are, we have committed to building a new state of the art data center on the eastern seaboard here. And probably a good chunk of capital extension in Q4 to the first down payments on that facility and equipment. We'd expect that data center to be up and running in the second half of the year, towards more the end of the year. It will be VeriSign's most comprehensive data center yet. And is there really to allow us to increase our service levels to 100% in some services, and so the 5-9 in others. So we're, we do believe in this world that's moving to software and, managed servi, software as a service and managed services for network, that he who has the best service level agreement will win and that investment in that data center is started now.
Q - Robert Breza: Great. Thank you very much.
Operator: Next we have Steve Ashley with Robert W Baird.
Q - Steve Ashley: Hi. Most of my questions have been answered but in terms of the authentication business, Stratton, have you seen any reaction in the marketplace following the directive issued by FFIEC? And also maybe you could give us an update on the status of your anti phishing business? Thanks.
A - Stratton Sclavos: Sure. Lots of incoming phone calls, lots of meetings. I think all the financial institutions are trying to get a sense of what's available in the market. What could they deploy easily, what are the benefits of deploying second factor authentication versus using fraud management tools, versus using something else. So I would say that what we've seen since the directive came out, is a ton of discussions with just about everybody. And my expectation is all the vendors are getting the same phone call. We would expect to start seeing some activity there in terms of deployment probably in the second, third quarter as people are testing out these new services. I think you're also going to see this consumer push that we've talked about dove tail with that and you'll see not just traditional financial institutions, but other, if you will, Internet lifestyle companies. Whether they be portals, or healthcare or market place companies begin to look at this as well. So we're pretty excited about it although I think right now it's in a lot of tire kicking. Our anti phishing business is good. We have a good consulting business there, we work with several of the major banks, if you will, most targeted sites. I think phishing, is however, while it was kind of a focus topic several quarters ago, it's really now one of five or six different things people are worried about, including these new terms that's farming attacks. And these key stroke bloggers and all the Spyware. So our customers are being inundated with this stuff. And I think that's why the security business is seeing the demand it's seeing is they just can't keep up.
Q - Steve Ashley: Great. Thanks so much.
Operator: We now have a question from Shyam Patil with Raymond James.
Q - Shyam Patil: Hi, I'm filling in for Mike Latimore. On the ringtone side, what percent is true tone versus poly tone?
A - Stratton Sclavos: It's different by market place, in Europe you tend to still see a lot more polyphonic tones than you do here in the U.S. I would say in Europe we're probably 30 to 35% real tones and the rest poly tones and graphics. Here in the U.S. real tones are probably 60% already of the offering, and I think that has to do with the handsets bought here. The market evolved here later and, therefore, the hand sets we're targeting are the more sophisticated ones. The data plans are cheaper, and I think that the genre, if you will, is really focused on those real tones from the real artists.
Q - Shyam Patil: And you might have already mentioned this but, in the U.S. does Sprint contribute as much as you expected it to?
A - Stratton Sclavos: I would say it probably did in the Q4 period. You know, hard to gauge. I mean, they were immediately out of the gate were the largest carrier in terms of new sign-ups. But that's because they had pent up demand from those subscribers for not having been available prior in the year. So I think we won't now steady state here until this quarter or next.
Q - Shyam Patil: Okay. And on the communications side, especially for M&A, what sort of areas are you guys thinking about?
A - Stratton Sclavos: Well, I think we're very excited about this messaging area and we believe interactive messaging both in the tech side as well as in the multimedia side are going to be very big growth opportunities. So we've looking at expansion internationally and new types of services there. There's always a build or buy discussion. I think we're also looking into the broadband side around content distribution and content delivery. These are things we've talked about over the course of the last few quarters and I think those still remain the most interesting spaces for it. And then on the Internet services side, it's really now just building out the franchise that we've got with things like iDefense that was a very successful acquisition for us last year. Where we're bringing more intelligence to the security information and our customers are obviously clamoring for that.
Q - Shyam Patil: Okay. And last question, now that Sprint merged with Nextel, I mean, is there any update regarding the MMS deal you guys have going on there?
A - Stratton Sclavos: We've just delivered a brand new client to Sprint for the picture messaging service. It's one of their most profitable and successful product lines so we don't have an update there. I know there are others in the industry talking about that but our expectation is that they will be a long-term and successful customer with us in the MMS area.
Q - Shyam Patil: Thank you.
Operator: And we have a question from Chris Hovis with Morgan Keegan.
Q - Chris Hovis: Hey, most of my questions have been answered but with regards to authentication service you did allude to a near-term announcement. Could you clarify whether that's an announcement around an additional customer or some type of additional offering?
A - Stratton Sclavos: I won't clarify it. But you can assume it's all of the above.
Q - Chris Hovis: Okay. And then just with regards to VoIP, you're mentioning VoIP. Any update on mobile VoIP initiatives? I know you guys had a couple of roll-outs at universities late last year, particularly around timing, or anticipated timing of that.
A - Stratton Sclavos: I think that we are continuing to see good interest in that service. That is a new ecosystem that has to get developed because you're dealing with Wi-Fi to cellular roaming, you're dealing with handsets that have to have dual mode capability, you're dealing with carrier hand-offs and Wi-Fi hot spots, billing and clearing facilities so those are big projects. What I would tell you is we did sign another customer for trialing the wireless service here in Q4. It's one of the new brands that's going to be coming out with very advanced phones, including Wi-Fi land capability. But my expectation is that the hand sets are going to be the long pole in that whole market as you just don't have, if you will, the appropriately packaged and priced and available hand sets right now. So our expectation is those pilots will run through the first half of the year. We'll learn a lot. And it's likely in the second half of the year there'll be some new fancy hand sets that can take advantage of all of this.
Q - Chris Hovis: Great. Thanks.
Operator: At this time I'd like to turn conference back over to our speaker's for any additional or closing comments they may have.
Stratton Sclavos, Chief Executive Officer: Thank you everyone for your time today. As always we look forward to talking to you, answering any additional questions you may have. Thank you and good evening.
Operator: And once again, everyone, this will conclude this VeriSign, Inc. conference call. Thank you all for joining us today. You may now disconnect the line.
TRANSCRIPT SPONSOR: